Operator: Good afternoon and welcome to the Everspin Technologies Fourth Quarter and Full Year 2024 Financial Results Conference Call. At this time, all participants are in a listen only mode. At the conclusion of management's prepared remarks, instructions will be provided for the question-and answer-session. As a reminder, this conference call is being recorded. I would like to turn the conference over to Faye Hoffman, Investor Relations for Everspin.
Faye Hoffman: Thank you, operator, and good afternoon, everyone. Everspin released results for the fourth quarter and full year 2024 ended December 31st, 2024 this afternoon after market closed. I'm Faye Hoffman, Investor Relations for Everspin and with me on today's call are Sanjeev Aggarwal, President and Chief Executive Officer and Bill Cooper, Chief Financial Officer. Before we begin the call, I would like to remind you that today's discussion may contain forward looking statements regarding future events, including, but not limited to the company's expectation for Everspin's future business, financial performance and goals, customer industry adaptation of MRAM technology, successfully bringing to market a manufacturing product in Everspin's design pipeline and executing on its business plan. These forward looking statements are based on estimates, judgments, current trends and market conditions and involve risks and uncertainties that may cause actual results to differ materially from those contained in the forward looking statements. We would encourage you to review the company's SEC filings, including the annual report on form 10-K and other SEC filings made from time to time in which the company may discuss risk factors associated with investing in Everspin. All forward looking statements are made as of the day of this call and except as required by law, the company undertakes no obligation to update or alter any forward looking statements made on this call, whether as a result of new information, future events or otherwise. The financial results discussed today reflect the company's preliminary estimates are based on the information available as of the date hereof and are subject to further review by Everspin and its external auditors. The company's actual results may differ materially from these estimates as a result of the completion of financial closing procedures, final adjustments and other developments arising between now and the time that the financial results for this period are finalized. Additionally, the company's press release and statements made during this conference call will include discussions of certain measures and financial information in GAAP and non-GAAP terms. Included in the company's press release are definitions and reconciliation of GAAP net income to adjusted EBITDA, which provide additional details. A copy of the press release is posted on the investor relations section of Everspin's website at everspin.com. And now I'd like to turn the call over to Everspin's President and CEO, Sanjeev Aggarwal. Sanjeev, please go ahead.
Sanjeev Aggarwal: Thank you, Faye, and thanks everyone for joining us on the call today. Before I discuss our results, I would like to take a moment to welcome Bill Cooper to Everspin as our Chief Financial Officer. Bill joined Everspin in early January coming from Advanced Micro Devices where he held various executive finance positions. On behalf of the board and management team, I also would like to thank Matt Tenorio for stepping back in over the past several months as our Interim Chief Financial Officer. Turning to our fourth quarter results, we are pleased to report our fourth quarter results with revenue of $13.2 million above our expectations and EPS of $0.05 at the high end of our guidance range. Our outperformance this quarter was due to strengths in product revenue, which came in higher than expected, plus some additional uplift from our ongoing RadHard projects. During the quarter, Everspin continued to make progress on a number of wins and advancements that we outlined in prior quarters. Most notably, we saw strong momentum in our RadHard deals. For example, we signed a contract with Purdue University to advance artificial intelligence hardware through the Microelectronic Commons program administered by the Silicon Crossroads Microelectronic Commons, or SCMC hub. We also executed the next phase of the project with QuickLogic to develop a strategic Radiation-Hard, Field-Programmable Gate Array, or FPGA. Our 4-megabit to 128-megabit STT-MRAM persist family is now validated for configuration across all Lattice Semiconductor FPGAs. Enabled through the lattice-radiant software suite, this validation highlights MRAM's role as a robust and reliable configuration memory device for a wide range of applications in industries such as industrial, aerospace, military, and automotive. When we designed the latest high-density persist MRAM including NOR interface support, we anticipated the need for frequent, fast, and reliable FPGA configuration. With multiple design engagements already underway, this partnership showcases how our MRAM solutions deliver the performance and reliability required across diverse applications. The shift from traditional flash memory to MRAM in FPGA configuration reflects the growing demands of modern applications. These key advancements demonstrate the strength of a product portfolio and technology. On the product side, we had a total of 178 design wins in 2024. Our pipeline of new design wins for our MRAM products remains strong and reflects the high quality of our products which have continued to generate interest and win designs despite the pressure on customer R&D budgets in 2024. We are also seeing continued interest in our toggle MRAM and the 4-megabit to 128-megabit xSPI STT-MRAM product family. We expect our design wins with the newer MRAM customers to convert to production later in 2025, post-qualification of our industrial STT-MRAM products. Turning to our results, I will start by discussing products for which we recognize revenue in the quarter before discussing new wins and other projects with future revenue potential. During the fourth quarter, we continued to ramp revenue from the sale of a persist 1-gigabit STT-MRAM into IBM's Flash Core Module 4 or FCM 4 for data center applications. As a reminder, this is a fourth generation of IBM's FCM that has featured our 1-gigabit STT-MRAM solution. Our PERSYST solution delivers 2.7 gigabytes per second of both read and write bandwidth, coupled with non-volatility with a DDR4-like interface. We are pleased with our progress and anticipate a continued uplift in our product revenue from this ongoing project. We are pleased to have recognized initial revenue from the PERSYST MRAM prototypes we shipped to Lucid Motors for their Gravity SUV. Looking ahead, we expect to continue recognizing revenue from this project over the next two years, depending upon the customer reception of the SUV in the marketplace. While the total market is small due to the low number of Lucid SUVs in the market, we believe the design win is a clear demonstration of the reliability and performance that our MRAM products deliver in demanding environments. We are seeing good traction with the PERSYST 4-megabit to 128-megabit STT-MRAM product family in multiple sectors across geographies. For example, our design wins in Asia Pacific are in the network and casino gaming industry. In EMEA, the design wins include aerospace, industrial automation, and automotive transportation industry. In the Americas, our design wins are focused on aerospace, oil and gas, industrial automation, and FPGA applications. Turning to our licensing royalty, patent, and other revenue, we continue to recognize revenue from the $9.25 million Frontgrade technologies project that was announced in August of last year to develop a custom radiation hardened STT-MRAM macro for embedded solutions using our persist STT-MRAM technology. As a reminder, the deal will support current and future DOD strategic radiation hardened and low earth orbital space systems. The project remains on target and is meeting all milestones. We are pleased to see a growing trend to use commercial off-the-shelf products in LEO applications as the LEO market is expected to grow at a CAGR of 13%, significantly increasing from approximately $10 billion to $23 billion by 2029. We expect Everspin's MRAM products to support and be a part of this market leading to expanding adoption of our PERSYST X5 products. We have two other ongoing RradHard programs that utilize our STT-MRAM technology. The first program relates to an Ad-hoc 64 megabit STT-MRAM project. And the second is focused on building a strategic RadHard FPGA. We continue to recognize revenue from both programs and saw a meaningful sequential increase in revenue from our contract with QuickLogic. As a reminder, under this contract, we are providing our innovative AgILYST MRAM technology, logic design, and backend of line manufacturing services to advance the development and demonstration of strategic radiation hardened, high reliability FPGA technology. This initiative supports both current and future DOD strategic and space system requirements. We are pleased to share that we recognize family revenue from the initial production of order from our ongoing project with the leading provider of sensor devices to provide foundry services for their latest generation TMR sensor device on our MRAM line in our Chandler facility. We also recognize non-recurring engineering or NRE revenue for helping with the qualification. Turning to below the line items, last quarter we were awarded 14.6 million contract for the next two and a half years from a DOD contractor to develop a sustainable plan for our MRAM manufacturing facilities to provide continuous onshore MRAM capabilities to their aerospace and defense customers. During the fourth quarter, we recognized 2.1 million from this project in other income. Before I turn the ball over to Bill, I would like to provide an update on some of our recent awards that we believe will contribute to revenue in future quarters. As I mentioned earlier, we signed a contract with Purdue University and will be providing our state-of-the-art STT-MRAM technology optimized for fast switching and high read margins to support energy efficient AI solutions and will also deploy our manufacturing expertise to fabricate reliable STT-MRAM arrays. During the initial phase of the project, we have shared our design information with Purdue and have started running wafers to calibrate the performance of the current magnetic stack while they do process development for Phase 2 of the project, which is estimated to begin next year. We expect to recognize initial revenue from the project in the first quarter. Now I would like to take a few minutes to discuss Everspin's MRAM technology, our vision and where we believe our products are expected to impact the memory industry and adjacent markets. As we have discussed in the past, we believe STT-MRAM is the optimal candidate to replace or scale NOR flash devices at densities greater than 256 megabit. When designed to replace NOR flash devices, STT-MRAM provides a simpler architecture for system designers with 100x faster writes and 10x to 100x higher write endurance. Everspin has four megabit to 128 megabit STT-MRAM with an XPI interface in production for addressing the NOR flash market. We are in the process of designing a one gigabit STT-MRAM product with a goal of providing early samples in '25. There is a strong interest in these high density parts from the FPGA as well as the automotive industry given the trend of electrification of automotive vehicles. We are part of the consortiums mentioned in our previous calls that are being formed to address these market needs and in some cases at the forefront. Everspin also has extensive experience in tuning STT-MRAM technology to make the end device look like a SRAM or DRAM. For example, we have four megabit to 128 megabit SRAM-like parts in production offered as part of a PERSYST family. These parts have unlimited read-write endurance, retain data for greater than 10 years in extreme temperature ranges, and are used by our customers for data logging applications in industrial automation, IoT, and the casino gaming industry. We have been further tuning this technology to improve the read-write speeds down to less than 10 nanoseconds while trading off the data retention for 10 years to weeks to keep the read-write endurance. There is a strong interest for these features driven by Microcontroller and Edge AI applications. We expect the segment to grow significantly over the next few years as the major players started adopting STT-MRAM as discrete chips or as chiplets in a packaging solution. As you're aware, Everspin also has DRAM-like MRAM shipping into the storage industry. We have 256 megabit to one gigabit parts with DDR-like interfaces shipping into the data center market. As a next step, we are in the process of demonstrating Computer Express Link, or CXL, STT-MRAM. We are assembling 512 megabytes and one gigabyte small outline dual inline memory module, or SO-DIMMs and DIMM, using our existing one gigabit DDR4-like STT-MRAM for this demonstration, providing persistent memory functionality. CXL is an ideal interface for MRAM as it allows utilization of the full range of MRAM benefits whether directly attached or in shared architectures to enable resource sharing within a CXL network. Use cases include high performance, persistent scratchpad memory and write cache, high speed data logging and capture, coalescence buffer for data staging and accelerator memory, especially for offload accelerators, whether in HPC or Edge AI use cases. Turning to our outlook for 2025, we expect the year to be weighted more heavily towards the second half of 2025, due partially to our typical seasonality and as our Asian customers continue to work through their inventory. I will now turn it over to our CFO, Bill Cooper, who will take you through our fourth quarter financials and first quarter 2025 guidance. Bill?
Bill Cooper: Thank you, Sanjeev, and good afternoon, everyone. I'm excited to join Everspin and I look forward to working with the team to drive profitable growth and deliver value to our customers, partners, shareholders and employees. Turning now to our results. During the fourth quarter, we delivered revenue of $13.2 million above our guidance of $12 million to $13 million. For the full year, total revenue was $50.4 million, which was down 21% year-over-year due to lower product shipments, primarily into our distribution channel. MRAM product sales in the fourth quarter, which include both toggle and STT-MRAM revenue, was 11 million compared to $12.4 million in Q4 '23. We were pleased to see a sequential increase in our product sales from $10.4 million in the third quarter of '24. Licensing, royalty, patent and other revenue in the fourth quarter decreased to $2.2 million compared to $4.3 million in Q4 '23. This reduction was a result of the completion of certain projects. Turning to gross margin, our GAAP gross margin was 51.3% for the fourth quarter, up from 49.2% in the third quarter, and down from 58.1% in Q4 '23. The sequential improvement was due to product mix. The decrease relative to the same period last year was due to lower volumes. For the full year, GAAP gross margin was 51.8%, down from 58.4% in 2023, driven by lower volumes as well. GAAP operating expenses for the fourth quarter of '24 were $8.4 million, compared to $8.1 million in the fourth quarter, 2023. Last quarter, we outlined a strategic award we won in August to develop a long-term plan to provide manufacturing services for aerospace and defense segments. From the award, Everspin is eligible to receive cash payments totaling up to approximately $14.6 million, upon the achievement of certain technical tasks and deliverables over a span of 2.5 years. As a reminder, based on the nature of the agreement and our obligations, we recognize payments from this award below the line as other income. In the fourth quarter of 2024, the company recorded $2.1 million of other income relating to this award. Driven primarily by this award, we recorded fourth quarter GAAP net income of $1.2 million, or $0.05 per diluted share, at the high end of our guidance range of $0.0 to $0.05 per share based on $22 million weighted average diluted shares outstanding. This compares to net income of $2 million, or $0.09 per diluted share in the fourth quarter of 2023. Our full year 2024 GAAP net income was $0.8 million, or $0.04 per diluted share based on $22 million weighted average diluted shares outstanding. This compares to $9.1 million or $0.42 per diluted share in 2023. Adjusted EBITDA was $3.2 million, compared to $3.6 million in Q4 '23. Adjusted EBITDA for 2024 was $9.2 million, compared to $15.3 million in 2023. We are pleased that our balance sheet remains strong and debt-free. We ended the quarter with cash and cash equivalents of $42.1 million, up $2.5 million from $39.6 million at the end of the prior quarter. Cash flow generated from operations was $3.8 million for the fourth quarter. Before I turn to guidance, I wanted to note that as we enter 2025, we will be shifting our non-GAAP metrics from adjusted EBITDA to non-GAAP EPS. Non-GAAP results are calculated by removing the impact of stock-based compensation. We are making this change to better align with industry standards and provide better clarity and comparability for our stakeholders. As Sanjeev mentioned, we expect 2025 to be more heavily weighted towards the second half of the year, as we expect a slower start to the year due to our typical seasonality and continued inventory consumption in Asia. Taking these factors into consideration, we expect Q1 total revenue in the range of $12 million to $13 million and a GAAP net loss per basic share to be between a loss of $0.10 and $0.05 per share. On a non-GAAP basis, we anticipate net loss per basic share to be between $0.05 to break even. In summary, we are pleased with our solid results this quarter driven by the strength in our product revenue and RadHard projects, and looking forward, we remain committing to maintaining financial discipline while focusing on scaling our business and converting additional design wins to revenue. Operator, you may now open the line for questions.
Operator: Thank you, ladies and gentlemen. [Operator Instructions]. First question comes from Richard Shannon with Craig Hallum. Your line is open.
Richard Shannon: Well, hi, Sanjeev and Bill, welcome. I look forward to meeting you in person. Congratulations on your role.
Bill Cooper: Excellent. Thank you. Thanks, Richard.
Richard Shannon: I guess my first question here, I apologize, I got a few earnings going on at once. I'm just trying to make my way through the guidance here for the first quarter top down to the bottom. And it seems like the loss per share seems to be anticipating some other dynamics in here that I wasn't expecting either higher OpEx or gross margin or something. Maybe you can kind of help us think about the changes from fourth quarter to first to help kind of bridge the gap here?
Bill Cooper: Yes, Richard, really the reason for that is, is that it's going to be the other income. The momentum program in Q1 is going to be lighter than it was in Q4.
Richard Shannon: Any way you can characterize what lighter means and then how do we think about the cadence of that over the rest of the year or throughout the entire two and a half year history? Is this going to be volatile based on milestones or how do we think about this?
Bill Cooper: Yes, it is going to be milestone based. And again, it's going to be, I would say, significantly lower, it's more than a million dollars plus lower in Q1. As we sort of ramp up through the year, it's going to -- you're going to see more of that revenue come to fruition in the back half of the year.
Richard Shannon: Okay, all right, that's helpful. I didn't mean to interrupt, Bill, please go ahead.
Bill Cooper: Yes, I was just going to say we took $6.1 million with a total of $14.6 million in 2024. So, and then in 2025, we will record something close to that, but not quite as much.
Richard Shannon: Okay, fair enough. I'll come back to that one maybe in a second here. Sanjeev, I want to follow up on your press release of, I had a camera a week or two ago related to Lattice Semiconductor with your PERSYST partnership here, and use that as an excuse to talk about kind of the new product cadence here and how we expect to see this ramp up to material and noticeable revenues for you exiting this year. How do we think about that and how does the Lattice partnership help you accomplish that?
Sanjeev Aggarwal: Yes, Richard, thanks for that question. So, as you have talked about in the past, some of our customers are already using the Lattice FPGA with our PERSYST MRAM. And in that case, the software or the controller software was being provided by one of the Everspin partners. What this does with Lattice is, with the Lattice radiant software suite, it now makes it much easier for customers to actually use the Lattice FPGA with our PERSYST MRAM. So we believe that that's actually going to make it much easier for the system designers to architect the solution and deploy it.
Richard Shannon: Okay. So how do we think about revenue contributions from this product line, including what Lattice gives you? I mean, can we see this get to over a million or $2 per core exit this year, or is that too fast to be able to accomplish that?
Sanjeev Aggarwal: So I want to be clear that we are not getting any revenue from Lattice on this one, right? It basically is a joint solution that is being offered by Everspin and Lattice to our customers. There is no exchange between Lattice and Everspin. In terms of revenue generation based on this collaboration, I don't think I can actually put a number directly to this, but I do think that it is going to accelerate some of the design wins and qualifications, given that they're already using something that is integrated with the FPGA.
Richard Shannon: Okay. All right, fair enough. Maybe let's talk about kind of the sustaining product lines here and what we've kind of been watching for the last year or so, some weakness in certain markets related to the industrial position that you have, particularly in Europe and Japan. Sounds like from your language, or sounds like we're getting close to the bottom, but still some issues there. Do you have any visibility onto when those markets bottom out and when we can start to see some improvement?
Sanjeev Aggarwal: Good question, Richard. I think you perhaps know as much as we do in terms of the macroeconomics and how the rest of the industry is behaving. But the behavior that I mentioned on my last call, which is basically last-minute orders or more short-term orders, tells us that the inventory is actually at the very bottom. So based on that, I do think that, or we do believe that the second half of 2025 should look more promising than the first half.
Richard Shannon: Okay. Maybe one or two last questions, I'll jump out of line here. You mentioned your prepared remarks, the contract with Purdue University related to development. I think it's an AI if I got my notes right here. And I think you said there's some revenue recognition here in the first quarter. I guess a few questions on this. Is this an episodic kind of revenue stream here? Do you expect to follow through in second quarter and going forward? And it seems like this is a fairly, at least the way you described it, made it seem like a fairly long period gestation of development that would manifest itself into revenues, product revenues anytime soon. Maybe you can characterize that, what kind of progress and when you expect to have something meaningfully done here with all your partners in this project?
Sanjeev Aggarwal: Okay. Yes, so you're right. I mean, this project is going to be over four years and the microelectronic commons or DOD is going to review the progress on an annual basis for the renewal. So the total value of the project to Everspin is on the order of $10.5 million with about $4 million for the first year. And at the beginning of the project, we're basically going to be providing information on the MRAM that we built in Chandler. And then also you're going to be providing them with some design documents so that they can actually go ahead and start designing the neuromorphic chip for AI applications. And you're right, it's going to be milestone base. It's not equally distributed over the first year. Depending on the milestones achieved, the revenue would be consistent with that or congruent with that.
Richard Shannon: Okay, fair enough. That's helpful. We'll look forward to updates on that one. My last question is a big picture on here, Sanjeev. Given your increasing exposure to defense markets here with the RadHard projects, let me get your sense. And I realize that you're probably a step or two away from others that have more direct view into the thinking by the current DOD and Trump administration here. But what do you see in terms of risks and opportunities for your capabilities here in RadHard? You see them as -- do you see any reason to be worried here in the near term? Do you see any reason to be more optimistic in the long term? Just kind of what's your big picture thoughts?
Sanjeev Aggarwal: Yes, so, I mean, obviously we have very little visibility, like you said, right? We are at least two or three steps away from what's going to come down the pipeline. But we have neither heard anything positive or negative with our current projects. We fully expect, for example, the QuickLogic project to continue to building a Strat RadHard FPGA. And similarly, our projects at Frontgrade and Purdue, they all seem to be moving forward without any issues. As far as new projects are concerned, I do think that that might take a little while before there are policy decisions that come down from the new administration.
Richard Shannon: Okay, fair enough. I appreciate that perspective. That's all for me.
Sanjeev Aggarwal: Thank you, Richard.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back to Sanjeev for any further comments.
Sanjeev Aggarwal: Thank you, Kevin. I just want to thank everyone for joining us on the call today. And we look forward to speaking to you again with the results for Q1 of 2025. Thank you.
Operator: Thank you, ladies and gentlemen, that concludes this presentation. You may now disconnect your lines.